Operator: Good day, and thank you for standing by. Welcome to the Primoris Services Corporation Fourth Quarter and Full Year 2021 Earnings Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Brook Wootton, Vice President, Investor Relations. Please go ahead.
Brook Wootton: Good morning, and welcome to Primoris' Fourth Quarter and Full Year 2021 Earnings Conference Call. Joining me today are Tom McCormick, President and Chief Executive Officer; and Ken Dodgen, our Chief Financial Officer.  Before we begin, I would like to make everyone aware certain language contained in our safe harbor statement. The company cautions that certain statements made during this call are forward-looking and are subject to various risks and uncertainties. Actual results may differ materially from our projections and expectations. These risks and uncertainties are discussed in our reports filed with the SEC. Our forward-looking statements represent our outlook only as of today. We disclaim any obligation to update these statements, except as may be required by law.  In addition, during this conference call, we will make reference to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures are available on the Investor Relations section of our website.  I would now like to turn the call over to Tom McCormick.
Thomas McCormick: Thank you, Brook. Good morning, and thank you for joining us today to discuss our 2021 fourth quarter and full year results and our financial outlook for 2022. We wrapped up the year with a strong fourth quarter reflecting the momentum that we built throughout 2021. We established our footing in the communications market and expanded our presence in the renewables market. And while doing all of that, we maintained a solid performance in our traditional utility, energy, pipeline and heavy civil markets.  Our full year revenue was $3.5 billion, essentially flat compared to last year. This was driven by our Utility segment revenue, which was up 21%, and our Energy/Renewables segment revenue, which was up 15% over the same period last year. By design, these increases more than made up for our reduced presence in the pipeline market, which now accounts for only 12% of our overall business revenue.  Our full year net income was $115.6 million. This is up 10% compared to last year while our adjusted net income came in at $143.3 million. This is up 22% for the year. We ended 2021 with EPS of $2.17 and our non-GAAP EPS was $2.70. This is all in line with our guidance. That increase is significant when you consider the fact that we added 4.5 million additional shares from our secondary offering in the first quarter. When you look at our full year EPS from 2018 to 2021, the CAGR increased over 13%.  Now let's look at the three segments in detail. Our Utilities segment had a strong fourth quarter performance. Revenue came in at $442.9 million. That is a 22% increase compared to the same period last year. We can now say that many of the third quarter issues, such as delays in engineering and permitting, are behind us and that we and our clients have learned how to work with and through supply chain delays.  In addition, we responded to storm remediation needs in the Gulf Coast and increased our client work order activity on the West Coast throughout the third and fourth quarters of 2021. With all key integration objectives and milestones completed at the end of 2021, Future is now fully integrated into our business. We signed $392 million in new business for the Utility segment during the fourth quarter.  Future Infrastructure expanded its footprint with the execution of a $25 million 2-year master service agreement with a well-known broadband company. This work includes installing aerial and underground fiber optic cable across Southern Alabama. Work began on this project during the first quarter of 2022. This project is our second with this broadband company. The first was a 5-year MSA for $60 million in Northern Alabama that we have announced in May 2021. Both projects are being managed from Future's operation centers located in Alabama and Georgia as part of our commitment to support the economies and the communities where we do business.  Other new business in the Utility segment includes a 3-year $30 million contract to provide design-build services in support of a major utilities grid modernization and substation optimization program. This work provides a turnkey solution for engineering, design and installation of both underground and overhead electrical distribution assets located on the East Coast. Work began in the fourth quarter of 2021 and will continue through the fourth quarter of 2024. The contract also has two optional 1-year extensions.  In addition, the Utility segment was awarded a $25 million 3-year MSA by a utility client. This agreement is for electrical work, including overhead and underground distribution construction as well as maintenance and overhead transmission construction. The project, located in the Great Lakes region, commenced work in the first quarter of 2022.  We also signed two new MSAs in December 2021 totaling over $225 million for gas distribution projects in California. These are with major utilities where we have long-standing relationships. The new MSAs are both an expansion and an extension of those relationships. As of December 31, our overall backlog for the Utility segment was $1.4 billion and our opportunities continue to grow.  On the electrical side, we're gaining traction toward obtaining additional contracts in the Northeast markets. With respect to communications, now that we have fully integrated Future Infrastructure, we've seen an increased ability to capitalize on rapidly growing rural broadband and fiber-to-the-home projects. This includes opportunities to expand our communications footprint and capitalize on existing Primoris resources in new markets.  Now turning to our Energy/Renewables segment. Revenue increased to $369.3 million for the quarter. That is an 11% increase over the same period in the prior year. The biggest contributor was renewable energy activity, which grew by $35.9 million. This includes solid performance on two major projects. We announced a remarkable $1.6 billion of new business for the Energy/Renewables segment during the quarter. This includes $925 million in solar awards and a heavy civil contract in the Gulf Coast for $460 million in addition to some smaller awards. This is truly remarkable.  In November, we announced a solar project award with an estimated value of $130 million. This award is for the engineering, procurement and construction of the utility-scale solar facility in the Southwest and is our fourth project for this client. Construction began in the first quarter of 2022. The completion of the project is expected by the end of this year. As I've said many times before, being chosen by clients on a repeat basis is not only a real point of pride for our entire team but a demonstration of how well we continue to perform on our projects.  We also announced a significant solar award valued at over $425 million for the engineering, procurement and construction of two utility-scale solar facilities in the Southwest. Initial project construction will begin in the second quarter of 2022 for both contracts with completion of the projects expected in the third quarter of 2023.  In December, we announced another solar project award valued over $370 million for the engineering, procurement and construction of a utility-scale solar facility on the West Coast. Our total year-end backlog for this segment was $2.5 billion, including $1.1 billion in renewables work.  Recently, we added two new industrial contracts totaling approximately $77 million. The first project is a significant earthworks project located in Florida. The second project is for the mechanical scope of a hydrogen-producing Steam Methane Reformer, which will be the largest SMR plant our customer will operate on the Gulf Coast.  This segment ended the year with the healthiest opportunity funnel since the start of the pandemic. And in line with our broad strategy of pursuing smaller and moderate projects, we are building up a distributed generation solar group to pursue smaller solar project opportunities in the range of 5-megawatt DC to 100-megawatt DC. We expect this to become a significant business for us in the coming years.  There continues to be new opportunities in renewable diesel and clean hydrogen projects, which we are actively pursuing. We are already executing one proof-of-concept hydrogen pilot project as we continue to build a strong renewable energy resume in both hydrogen and energy storage. In our traditional energy markets, we are starting to see a rebound with a number of opportunities advancing in 2022 and 2023.  Moving on to our Pipeline Services segment. Revenue came in at $72.3 million for the quarter. In terms of our operations, I want to note that the work on the West Coast project we discussed on our last call resumed work in February. This project had been delayed since mid-May due to the project being placed on hold to allow the regulatory authority time to approve work plans and acquire permits. Looking ahead, we don't see recovery in this market until 2023 at the earliest. But it is a solid business and activity is picking up. Our field services bid activity increased 25% with the majority of these projects scheduled for execution in 2022.  During the fourth quarter, we signed two smaller construction projects as well as a 3-year integrity agreement with a major pipeline operator. Based on our strong 2021 performance for another pipeline operator, they awarded Field Services a 2-year leader in well connect program. Our pipeline work is also adding to our resume in hydrogen and carbon capture. One carbon capture project is currently in the design and engineering phase. We are also working with other carbon dioxide and hydrogen pipeline companies who are developing projects. We continue to build on the synergies between our pipeline and renewable energy capabilities.  And last, we are focused on the health and safety of our workers, our clients and the public. Our safety record in 2021 is another accomplishment in which we can all take pride. Our total reportable incident rate was 0.49 for the full year, which meet our corporate target of 0.60. And both of these numbers are lower than the industry standards.  Here are just a few examples of the awards we earned this year. Primoris Canada honored with the MSA Safety Award for Canada's Safest Oil and Gas Employer. ARB Industrial was named the overall winner of California Plumbing and Mechanical Contractors Association Safety Star Award. Q3C received the Minnesota Safety Council's award of honor for the 10th consecutive year. And ARB Underground was bestowed the Arthur T. Everham Safety Award by the Distribution Contractors Association for the seventh consecutive year. I want to congratulate our teams for the 2021 safety recognition we received during the year.  With respect to COVID-19, we are not out of the pandemic just yet. Keeping our employees and the public healthy and safe continues to be a top priority for us. We continue to follow CDC guidelines as well as safety protocols to satisfy our clients to their sites.  Now let's get into details of the numbers with Ken.
Kenneth Dodgen: Good morning, everyone. Let me begin with our key operating metrics for the fourth quarter and the full year and then I'll discuss our balance sheet, cash flows and backlog. I'll wrap up with our guidance.  Our fourth quarter revenue was $884.4 million. This slight decrease of $12.9 million compared to the prior year was driven by an expected $129.3 million decrease in Pipeline work. This decrease was almost completely offset by an $80.5 million increase in the Utility segment and a $35.9 million increase in the Energy/Renewables segment.  Our solid performance in the Utility and Energy/Renewables markets demonstrates that our investment in these areas over the past several years continues to provide solid returns. Gross profit for the fourth quarter was $96 million, a minimal decrease of $1.7 million, and gross margins were consistent between the periods at 10.9%.  Now let's look at each of the three segments for the fourth quarter. Energy/Renewables revenue was up by $35.9 million compared to the prior year on the continued strength of our renewables business, partially offset by lower industrial work. Gross profit was $38.5 million, an increase of $14.1 million or 58.2% compared to the prior year. This is primarily due to higher revenues and margins. Gross margins increased to 10.4% during the quarter compared to 7.3% in the prior year. This was mainly due to higher costs associated with the LNG project in the Northeast in the prior year.  Utility segment revenue was up $80.5 million in the quarter, driven by Future contributing $68.1 million, along with increased activity with our gas and electric customers. Gross profit was $52 million, an increase of 9.4% compared to the prior year. Gross margins were 11.7%, down 1.4% from the prior year since we had less Q4 storm work. Despite the lower overall margins, Future gross margins finished strong at almost 18% this quarter. Pipeline segment revenue came in at $72.3 million for the quarter. And we generated a gross profit of $5.5 million and gross margins of 7.7%.  Now let's take a look at the full year 2021. Gross profit increased by $46.4 million or 12.5% compared to 2020, primarily due to higher gross profit in the Energy/Renewables and Utilities segments. Energy/Renewables gross profit increased $55.4 million or 58.3% compared to the prior year. This is primarily due to higher solar revenues, partially offset by a decline in industrial work. Gross margins increased to 10.7% this year compared to 7.7% in the prior year. This was mainly due to a favorable claims resolution on an industrial project in 2021 and higher costs in 2020 associated with the LNG project.  Utilities gross profit increased by $8.5 million this year, primarily due to Future, which contributed $43.6 million. This was partially offset by gross margins of 11.2%, down 1.8% from the prior year. These lower margins were due to weather, the ERCOT moratorium and customer material delays in Q2 and Q3 as well as less storm work. Future gross margins were still strong at 16.4% for the year. Pipeline segment gross profit was $80.1 million and gross margins were 18.6%. The increase in gross margins was primarily due to the favorable impact from the closeout of multiple pipeline projects in Q2 and Q3 of this year.  Now shifting to SG&A. Expenses in the fourth quarter were $57.2 million compared to $50.2 million in the prior year. This increase was due to the acquisition of Future. For the full year, SG&A as a percent of revenue was 6.6%. Future has been fully integrated, as Tom mentioned, and we anticipate our 2022 SG&A should be back down in our normal low to mid-6% range.  Net interest expense in the fourth quarter was $4.3 million compared to $2.8 million in the prior year. The increase was primarily due to higher average debt balances from the Future acquisition, partially offset by the positive impact from the interest rate swap and lower average interest rates.  Our effective tax rate on income attributable to Primoris was approximately 10.4% for the quarter. The decrease was primarily due to the temporary change allowing full deductibility of per diem expenses through 2022. This benefit drove down our effective tax rate to 23.8% for the full year. We expect our effective tax rate to be approximately 27% for 2022. But as usual, this may vary depending on the mix of states in which we work.  Net income was $29.4 million for the quarter and diluted EPS was $0.54. For the full year, net income was $115.6 million, an increase of $10.6 million or 10.1% with diluted EPS of $2.17. Adjusted EPS was $0.63 per share for the fourth quarter and $2.70 for the full year compared to only $2.42 in the prior year. Adjusted EBITDA for the full year was $297.6 million. This was a 17% increase compared to the prior year.  Operating cash flows in the fourth quarter were $64.9 million and for the full year were $79.7 million. The decrease in operating cash flows in 2021 was mainly due to lower deferred revenue this year as a result of decline in Pipeline work; higher unbilled revenue as our Utilities segment saw more activity in Q4 and didn't see the normal decline in December; and higher prepaid materials purchased for solar projects to reduce the impact of material delays.  In the fourth quarter, we invested $31.7 million in CapEx, of which $27.7 million was for equipment. For the full year, we invested $133.8 million in CapEx with $119.4 million used for equipment. And we expect our 2022 capital spending to be between $120 million to $140 million, which includes $70 million to $90 million for equipment. We've increased our spending on equipment to support the new Utilities MSA agreements and the rapid growth in our solar business.  We ended the year with $200.5 million of cash. Borrowing capacity under our revolver was $158 million, providing a total available liquidity of $358.5 million at year-end. Total debt was $665.7 million and net debt was $465.2 million. Over the next 12 months, we expect to use our cash and operating cash flows to support the continued organic growth of our company, reduce debt and to pursue acquisitions that complement our growth strategy.  Total backlog at the end of the year was $4 billion compared to $2.8 billion in the prior year. This is a company record for us. Fixed backlog was almost $2.5 billion, an increase of $839.6 million or 51%, primarily due to solar projects announced in Q4. MSA backlog was up 34% or $386.6 million to over $1.5 billion compared to $1.1 billion at the end of the prior year.  Now let's move to our 2022 earnings guidance. We expect earnings per fully diluted share to be in the $2.10 to $2.30 range. And for our adjusted EPS guidance, a non-GAAP measure, we expect to be between $2.39 and $2.59 per share. All of these details reflect the continued strong momentum in our utilities and renewables business as we continue to deemphasize our reliance on the historic pipeline business.  And with that, I'll turn it back over to Tom.
Thomas McCormick: Looking forward, our revenue mix has continued to shift from almost exclusively conventional energy and civil infrastructure to a large and growing proportion of renewable energy, electric grid transformation and communications. As I mentioned earlier, Pipeline continues to become a smaller part of our overall business and now represents only about 12% of our total revenue. And the secular market trends continue to support that shift.  Wood Mackenzie reports that solar continues to make up the largest share of new generation capacity in the U.S. It accounted for more than 50% of all new electricity-generating capacity additions in the first 3 quarters of 2021. Utility-scale solar should continue to grow at double digits under the current policy environment. And we are already beginning to feel the future potential of this. Fiber broadband has an equally strong outlook. The Fiber Broadband Association predicts that we will see the largest fiber CapEx cycle in history as the number of potential fiber customers more than double over the next 5 years.  We talked last quarter about the federal infrastructure bill, beginning to see the specifics as to how the infrastructure bill money will be spent. But much of it starts with studies rather than shovel-ready projects. It will take some time for that to turn into engineering and construction contracts. We definitely see potential in heavy civil projects as well as in communications, utilities work and pipeline construction.  For example, in January, the U.S. Army Corps of Engineers announced that it will spend $1.5 billion. This money will be spent for the construction of flood and storm damage reduction projects in the four states where major disasters were declared in 2021 from Hurricane Ida. They have identified five projects in these states for 2022. These are clearly within our geographic footprint and in locations where we have strong civil project track records along the Gulf Coast.  It is also estimated that Texas will receive about $35.4 billion over 5 years for roads, bridges, pipeline and supports, broadband access and other projects. A tremendous amount of this work is in our wheelhouse. One piece of that work that was announced a couple of weeks ago by the Department of Transportation and Energy is that Texas is eligible to receive up to $407.8 million for projects directly related to EV charging infrastructure.  But both for the long term and in the immediate future, we are ideally positioned to meet the needs of America's evolving infrastructure. That includes the energy transition to a zero carbon future, highly dependent on the electric grid, the greater reliance on broadband and 5G technology and the updating of our aging civil and pipeline infrastructure. We have opportunities in every business segment to participate in these secular market trends. And we intend to turn those opportunities into profitable revenue and shareholder value.  And with that, I'll now open it up for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Steven Fisher with UBS.
Steven Fisher: I wanted to just start off with the Pipeline business. I mean, the run rate of revenue seemed a fair bit lower than what you might have been thinking about previously for at least kind of going forward for into 2022. So I'm wondering if you can talk about what your customer discussions are like there. And should we now assume the $70 million to $80 million of run rate is the new revenue run rate until it picks up some time? I think you said 2023 would be the potentially earliest it could pick up. So maybe just talk about the pace of what's going on there, please.
Thomas McCormick: Steve, good question. Early in this year or in 2022, we expect that to be the runway. We actually expect it to pick up in the second half of the year going into 2023. So our numbers in Pipeline will be down probably the first couple of quarters. We are seeing bid activity pick up, more so in the integrity-type work and the smaller project-type work. So we'll see some of that going forward. But we expect that towards the tail end of the year, it's a ramp-up going into 2023.
Steven Fisher: Okay. So that's helpful. And then if we shift over to the renewable side of things, I was curious why the burn rate of the renewables segment backlog isn't higher. I would have thought these solar projects have a little bit faster burn than some other projects or maybe it's the -- there was a big civil project that you mentioned. Maybe that's what's making it have a longer duration. But curious if you could just talk about kind of the -- what's happening on the burn right there.
Thomas McCormick: Well, it's a combination of both the things that you just mentioned. One is that solar projects typically take 18 to 24 months to burn through their revenue. They are starting slower. And the burn rate, as you complete detailed design and go through the procurement process, is at a lower rate. And then it ramps up as you move in the field and start our installations and our construction activities. And then you're right, the balance of that is the heavy civil project. It's a 5-year project, so it has -- it's going to burn and then get a fixed rate going through the next 5 years.
Steven Fisher: Okay. That's helpful. Just lastly, on just the cadence of the year, you mentioned that it sounds like first couple of quarters on the Pipeline segment are going to be a little bit lower. Any other color you can give us on the cadence of the rest of the business and how we should sort of model out the year?
Thomas McCormick: Yes. Our first quarter historically is slow. And it will remain that way -- it's that way in the Utilities as well. You'll see it start to pick up in the second quarter. And third quarter, which will be good quarters for us, as will the fourth quarter, it tails off towards the end of the year. Usually, it starts slowing down after Thanksgiving, depending on the weather.
Operator: Our next question comes from the line of Lee Jagoda with CJS Securities.
Peter Lukas: It's Pete Lukas for Lee this morning. You touched on it. But can you speak in a little more detail on Pipeline margins in the quarter? And also is the project in Louisiana in the release, has that been completed?
Kenneth Dodgen: Yes. So thanks, Pete. On Pipeline margins, no, we had a little bit of headwinds on Pipeline margins in Q4 related to a couple of small Field Services projects. They had some bad weather during Q4, which unfortunately drove up costs and forced us to write that job down a little bit. So that was a bit of an anomaly. We expect 2022 to be more normalized margins in Pipeline, 9% to 11%. And then Tom, do you want to talk about that project?
Thomas McCormick: Well, to add, just to the 9% to 11%, we think that obviously that number, that range used to be 9% to 13%, and we've dropped it a little bit because we know there's pressure on margins, and there will continue to be in Pipeline for the balance throughout 2022. And as work picks up and we see more activity closer to the end of the year, we'll see that number go up. The Field Services work, their work is historically, they're much smaller projects, so the risk isn't there. But when they do go bad, it's because they're smaller projects, it's just harder to recover. So when they got impacted by the weather, it just impacted the outcome of the project.
Peter Lukas: Very helpful. Next one for me. Can you speak to your supply chain, particularly as it relates to renewable projects and backlog that are in process or planned to start in '22? Have any of the increased cost to produce materials impacted your view of overall project margins?
Thomas McCormick: No. Actually, they have not. We've kind of baked those into our estimates. Our clients understood those expectations from us. And we break them into our estimates and our schedules.
Peter Lukas: Perfect. Last one for me. How should we think about interest expense in '22? And what assumptions have you made related to interest rates and the impact on your debt for the year?
Kenneth Dodgen: Yes. Good question. We are forecasting $5 million to $6 million of interest expense each quarter. And we've baked in, on average across the year, a 1% increase knowing that it will be less in the front half and more in the back half.
Operator: Our next question comes from the line of Sean Eastman with KeyBanc Capital.
Sean Eastman: So I just wanted to talk through the initial 2022 guidance from a bridge perspective versus 2021. We had kind of anticipated that the tough comps in Pipeline around the closeout activity in 2021 would sort of be fully backfilled by better performance in Utilities and continued growth in renewables, et cetera. So just wanted to understand the down year-over-year adjusted EPS and the big moving pieces in that bridge.
Kenneth Dodgen: Yes. Sean, good question. I think the quick and dirty is we had the headwinds on -- in Future and in our broader utility business during this quarter. We're definitely going to pick up some of that and recover some of that next year. There's no question about it. Energy/Renewables is going to be strong as well with some nice growth. But the decline in Pipeline is, as we continue to deemphasize that, is just a little bit more than you can completely overcome on an adjusted basis. For GAAP basis, it would net to flat to slightly up as we've talked about.
Sean Eastman: Yes. Okay, got it. And then of course, huge awards in solar in the fourth quarter. That's great to see. And you guys had walked through some of the schedules on some of the larger contracts in the prepared remarks. I just wondered how strong of a line of sight you have on start-up timing in some of those solar projects, just in light of the major supply chain disruption dominating the headlines there.
Thomas McCormick: So that's a good question as well. It takes a while to develop a solar project. So we spend a lot of time on the front end estimating the job, evaluating the site, looking at the layout of the facility and also, because of the supply chain issues and the fact that the modules are within our clients' scope of supply, we've been able to encourage our clients to buy earlier. A lot of them now are going to American-manufactured modules, which helps give them surety of supply. And we are also -- we have actually made an investment early to go prebuy steel, prebuy cable, electrical commodities and fittings to make sure that we have those materials when we need them.  So I'm very comfortable with the schedules that we have in our solar projects. And the ones that will be impacted by delays in modules delivery, we -- those are the last things that go in anyway. So it's not a big deal for us to lead -- finish a project, build it out, come back later with the crews and set the modules. We'll get paid for the demobilization, the mobilization. And instances where we see that, we have those plans. But right now, we've done a lot of fronting our clients to make sure we get surety of delivery.
Sean Eastman: Okay. Super helpful. And one last quick one for me. Can you tell us what solar revenue will be in 2022 and what that is year-over-year?
Kenneth Dodgen: Yes. We generally don't give revenue guidance. But I will tell you, same thing that we've been saying for the past couple of quarters, is we expect 2022 solar revenue to be up 20% to 30%, maybe more.
Operator: Our next question comes from the line of Adam Thalhimer with Thompson Davis.
Adam Thalhimer: I also had a question on solar in 2022. How should we think about that whole energy segment, given that solar growth?
Thomas McCormick: Well, solar is certainly the driver. But we are seeing other activity, bid activity in our other business units within that segment as well. But solar is definitely the leading growth engine in that segment though. And there's a lot of opportunities in there. We're looking at -- right now, what we have under contract, about $1.6 billion. But we're looking at a funnel of about $3.78 billion just on projects that we've targeted that will take us all the way through 2024.
Adam Thalhimer: What's your best guess on -- I guess, what are you seeing on solar supply chain?
Thomas McCormick: Well, the same thing everybody else is seeing. But again, we've gotten out ahead of it with respect to the commodities that we're responsible for. And a lot of the clients that we're working for -- most of the clients that we're working for, we've been working on numerous projects. And so they pre-bought modules. They've made commitments for the other materials within their scope of supply early in the process. So we feel pretty comfortable about the delivery of those materials on that equipment.
Adam Thalhimer: Okay. And then just lastly, can you -- I think you mentioned acquisitions in your script. Can you just kind of comment on what you're thinking about there?
Thomas McCormick: Right now, we're really looking at singles and doubles. We hope to, here in the next quarter, at least make an announcement about some smaller acquisitions. That's what we're looking at now. We're always looking at some of the larger ones. But those take longer to develop for us.
Operator: Our next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich: Can we talk about the solar business a bit more? In the past, you've highlighted that hiring crews was a key constraint in terms of how quickly you ramp up that business. Can you give us an update on how many crews you folks have now and the line of sight you have over the course of '22?
Thomas McCormick: I think the last update we gave was we were on -- we probably had 6 crews and we were working on 7. I would say we're probably working on 7 and 8. But something I'd add to that is we are now at -- and this was in our earnings narrative earlier, that we are building a distributed generation group now to chase smaller projects, anywhere from 5-megawatt DC to 100-megawatt DC. Those take smaller crews. And so we're building that business up, too. So that will help grow that business as well.
Jerry Revich: Super. And then just to shift gears in the Utilities segment, obviously, 2021 was a year of integrating Future. Can you talk about the margin outlook on a year-over-year basis to get to your targeted range that implies margin expansion for the segment over 2021 levels? And I'm wondering, when do we get to that point where margins are up year-over-year? And I appreciate the seasonality element. So maybe you can comment on that.
Kenneth Dodgen: Yes. Setting aside the seasonality, we definitely expect margins to be up slightly in 2022, maybe as much as 0.5 percentage point across the board, just based on the strength of our overall business as well as the contribution from Future increasing, not only in total but as slightly as a percent of the group as well.
Thomas McCormick: I think it's worth mentioning, too, that we don't have any major storm work in any of these numbers as well. That's typically higher-margin works. We don't bake that into our plans at all. So if we have storm work, recovery work, that will help drive the margins up.
Jerry Revich: Okay. Super. And lastly, CapEx revenue looks like it's going to be in the 3.5% range over the course of this year. Is that the normalized run rate for us to think about for the business going forward? Or any significant items that are driving CapEx this year?
Kenneth Dodgen: Yes. So CapEx on -- in total will be about the same as it was last year. A little bit higher percentage this year is focused on facilities as we continue to upgrade some of our facilities in order to concentrate and draw in multiple facilities into one of the geographic areas. So for example, in Southern California, we might take multiple facilities and consolidate them into one new one.  And that's also to support growth as well. So the rest, of course, is going to be equipment, just like normal. And in '21, we kind of pre-bought some equipment, as we previously mentioned. With respect to '22, I don't see a whole lot of prebuying in '22 right now, but we're going to watch it closely as the year goes on. And it wouldn't surprise me if we need to take advantage of that at some point, too.
Operator: [Operator Instructions]. Our next question comes from the line of Zane Karimi with D.A. Davidson.
Zane Karimi: So first off, can you talk a little bit more about the moving parts and expectations through the year for the communications business?
Thomas McCormick: Can you restate your question, please? I'm not sure I understood it.
Zane Karimi: Yes. Can you talk a little bit more about the moving parts and expectations that you guys have around communications through 2022?
Thomas McCormick: Yes. I think I understand what you're asking for. So as of the end of last year, we signed about -- we signed $100 million worth of contracts associated with ARB offsite work. Basically, where we execute our work is in the backbone of all the 5G. So we spend -- most of our work is associated with the installation of fiber optic cable across the country into rural communities to support the launch of 5G and provide broadband to clients. It's about 400,000 miles of fiberoptic cable that's projected to be installed or needing to be installed in 2022 to support the launch of 5G as we're seeing it now and provide broadband services to our clients.  We're pursuing a great deal of that work. As I just said, we were awarded $100 million of that type of work in 2021. As of now, as of the end of February, just starting in December, we had already pursued or bid another $150 million of that work just in the last 3 months, so the end of last year,and the first 2 months of that this year. So we're seeing a lot of bid activity associated with that type of work. None of that has been awarded yet that we've recently bid. But that's really where we see our future in that business.
Zane Karimi: And maybe any activity you're seeing around biofuels?
Thomas McCormick: A lot of it is still in the study phase, at least the projects that we're associated with. We're still in the FEED phase of those projects.
Operator: We do have a follow-up question from the line of Adam Thalhimer with Thompson Davis.
Adam Thalhimer: I was hoping to get a little more color on the pipeline bidding. I think you said back half of this year, it could pick up. Or was it picking up now?
Thomas McCormick: Adam, the bid activity is taking place now. The projects will start up -- we're looking to start up sometime in the second half of the year and into 2023.
Adam Thalhimer: And these are -- so the first half of '22 is more maintenance-type projects, the integrity work. But the bidding that you're seeing is larger projects?
Thomas McCormick: Bidding we're seeing is a combination. We're seeing much more activity. We've seen a 25% increase in the type of work that our Field Services group does, the smaller projects, 7 miles of pipeline replacement, dig up and replace, those types of projects. And that will take place -- those projects will be executed all throughout 2022 and into 2023. There's some smaller pipeline projects that our Pipeline groups have bid earlier this year. And we're seeing their bid activity step up a little bit as well. But those projects will not start until the second half of 2022, more likely into 2023.
Adam Thalhimer: Are you seeing anything that would be in the category of like large, wide-diameter multistate? Or is it all kind of intrastate still?
Thomas McCormick: If there's anything like that comes up, it will probably be through carbon capture. And that would be later this year.
Adam Thalhimer: Okay. Just seems kind of funny to be bearish on pipelines with oil over $100.
Thomas McCormick: Yes, I'm with you.
Operator: [Operator Instructions]. And at this time, there are no further questions. I would like to turn the conference back over to Tom McCormick, Chief Executive Officer.
Thomas McCormick: Thank you. We take our commitment to building America's infrastructure seriously. And we are proud that the work we do contributes to the strength of our communities and our country. I want to thank all of our employees and crew members for their hard work and their focus on quality and safety in everything they do. And I want to thank each of you for joining us today. I appreciate your interest in Primoris. Thank you, and goodbye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Goodbye.